Operator: Hello, and welcome everyone to today's Commercial Metal's Company Second Quarter Fiscal 2017 Earnings Call. Today's call is being recorded. After the company's remarks, we will have a question-and-answer session and we'll have a few instructions at that time. I would like to remind all participants that during the course of this conference call, the company will make statements that provide information other than historical information, and will include expectations regarding economic conditions, U.S. steel import levels, the outcome of international trade proceedings, including duties announced by the U.S. department of commerce, U.S. construction activity, demand for finished steel products, mill pricing, service scrap pricing, and scrap flows, the company's future operations and backlog margins, result of operation synergies, results from acquisitions, the company's planned new steel micro mill in Oklahoma and capital spending. These and other similar statements are considered forward-looking within the meanings of filed securities laws and may involve speculation, and are subject to risks and uncertainties that could cause actual results to differ materially from these expectations. These statements reflect the company's expectations and beliefs based on current conditions, but are subject to certain risks and uncertainties, including those that are described in the Risk Factor section of the company's latest annual report on Form 10-K. Although these statements are based on management's current expectations and assumptions, CMC offers no assurance that events or facts will happen as expected. All statements are made today as of this date. Except as required by law, CMC does not assume any obligation to update these statements in connection with future events, changes in assumptions, the occurrence of anticipated or unanticipated events, new information or circumstances, or otherwise. Some numbers discussed or presented will be non-GAAP financial measures and reconciliations for such numbers can be found in the company's earnings release or on the company's website. Unless stated otherwise, all references made to this year or our second quarter are references to the company's fiscal year or second fiscal quarter respectively. And now, for opening remarks and introductions, I will turn the call over to the Chairman of the Board, and Chief Executive Officer of Commercial Metals Company, Mr. Joe Alvarado.
Joe Alvarado: Good morning and welcome to everyone joining us to review the results for our second quarter 2017. Today, I am joined by Barbara Smith, President and Chief Operating Officer and Mary Lindsey, Vice President and Chief Financial Officer. I will review highlights from the quarter; and then Mary will cover the quarter’s financial information in more detail. Afterwards, I will conclude our prepared remarks with the discussion on our outlook for our 2017 third quarter after which we will open the call to questions. As announced in our earnings release this morning, we reported net sales of $1.1 billion for our second quarter 2017. Net earnings were $30.3 million or $0.26 per diluted share. Also as noted in our press release on March 22nd, I'm pleased to report that our Board of Directors declared a regular quarterly cash dividend of $0.12 per share of CMC common stock for stockholders of record on April 5, 2017. The dividend will be paid on April 20, 2017. This cash dividend reflects CMC's 210th consecutive quarterly dividend. Now I’ll cover current trends and conditions in the markets in which we operate. A mild winter and a growing economy in the majority of our U.S. markets led to strong results in our second fiscal quarter of 2017. As of January, non-residential construction spending increased 8% and non-residential construction starts increased by 46% on a year-over-year comparison. Additionally, as of February, the U.S. oil and gas industry has seen some rejuvenated demand and a 50% increase in rig count versus 2016 levels. One of the most significant challenges that we face is the global overcapacity of steel and resulting unfair practices of foreign dumping of low price steel into our markets, which has continued to negatively impact our margins in the U.S. In the second quarter, rebar imports increased 9% in comparison to the prior year. Preliminary countervailing and antidumping ruling for recently announced by the U.S. Department of Commerce aimed at rebar imports from Japan, Taiwan, and Turkey. The reaction by the analyst to the duties against Turkey, which collectively range between 7% and 9% were mixed, with some seemingly disappointed with results. We are pleased that there has been recognition from the Department of Commerce that producers in these countries have been trading rebar products unfairly in our markets. These preliminary rulings represent a first step in leveling the playing field, though there is a long way to go. The final results for the antidumping and countervailing duties will be released in the coming months and we will continue to support our government to both strengthen and better enforce our nation’s trade laws. Meantime, we continue to invest in our steel making assets and know that given the chance to compete on an equal basis that our costs are comparable to any other global producer of rebar and merchant products. The result of the effective trade action can be seen in our Polish operations, preliminary antidumping ruling against Belarus have resulted in lower levels of unfairly price import into Poland and partially responsible for the improved performance of these income operations during our fiscal 2017. In addition to the trade action, we are also seeing the benefit of the significant investment that we have made in these steel making facilities over the past few years. Our second quarter results in recycling were better than anticipated. After seeming to out in October ferrous scrap prices increased significantly through our second quarter. Our recycling business was able to reap the rewards of this increased pricing. In addition, good market demand for rebar and merchant products generated solid new results. However, increased rebar pricing further pressured margins in our fabrication operations were competitive pressures resulted in contracts being award at depressed selling values. The overall results in recycling mills and the fabrication segments, reiterates the strategic value of our upstream and downstream investments, which helps to stabilize our overall margins throughout the industry cycles. Supporting this vertical integration strategy, we recently concluded transactions to add to our Americas recycling and Americas fabrication segments. On December 12th, we announced the acquisition of the Continental Concrete Structures, Inc., a fabricator of post-tensioning cable and related products. On January 6th, we completed the purchase of Associated Steel Workers or ASW, the fabrication business in Hawaii. And on March 5th we completed the purchase of seven strategic recycling facilities in the Southeast. Each of these acquisitions complement and grows our existing footprint of operations and fits our vertical value added strategy. Integration is going well and we are confident in the synergies that these businesses will provide. On the mill side, construction at are technology leading micro mill in Durant, Oklahoma is proceeding as planned, and on target to begin production in the fall of this year. We have a dedicated team focused on this project and over 350 contractors involved in the construction of this facility on a daily basis, it's exciting to see the transformation of the construction site to a steel mill over the past several months. In January, we announced that an addition to straight rebars the Durant mill will produce spooled rebar and be the first to introduce spooled rebar in the United States market. In February, we followed with an announcement that we will also construct a highly-automated fence post operation at the Durant site, also supporting our value added down stream business and expanding our current geographic reach with these products. Both of these incremental investments will provide synergistic opportunities to the mill and enhance our potential returns from our investment in Durant. With that as an overview, I will now turn the discussion over to Mary Lindsey, Vice President and Chief Financial Officer. Mary?
Mary Lindsey: Thank you, Joe and good morning to everyone joining us on the call. As Joe mentioned for our 2017 second quarter, we reported earnings of $0.3 million or $0.22 per diluted share, which compares to earnings of $10.5 million or $0.09 per diluted share for the second quarter of the prior-year. $0.26 per share represents the strongest second quarter in 2012. I am also pleased to report that all of our operating segments contributed positively to these results. Summarizing our results, the 2017 second quarter Americas Recycling segment results were very strong, reflecting the impact of sharp increases in pricing. Significant increases in both ferrous and non-ferrous prices during the quarter combined with strong flows through the yard resulted in $7.8 million of adjusted operating profit for the quarter in this segment versus losses being incurred over the past 12 quarters as both ferrous and non-ferrous prices generally fell throughout this period. Our Americas Mills segment recorded adjusted operating profit of $51.3 million for second quarter 2017 compared to adjusted operating profit of $50.7 million for the same period in 2016. As Joe previously mentioned strong end market demand combined with some pull ahead volume as selling prices were rising during the quarter resulted in shipment volume increasing by 8% in comparison to the same period of the prior year. Comparing selling prices to current production metal margins resulted in a compression of margins by 16% as selling prices did not increase at the same price -- as the same pace as the scrap prices. As a result of using the weighted average cost method for inventories, much of what we sold during the quarter was lower cost material produced when scrap costs were lower during our first quarter, this impact contributed to the good results earned in this segment. Our Americas Fabrication segment recorded adjusted operating profit of almost breakeven at a $0.5 million for the second quarter of 2017. This compares to adjusted operating profit of $14.8 million for the second quarter of 2016. The decrease in adjusted operating profit was primarily due to an $86 for short term decrease in average selling prices in comparison to the second quarter of fiscal 2016, recorded in this segment, offset by a smaller reduction in the raw material steel prices. Fierce competitive pressure in this segment continue to drive down margin. Despite the recent increase in milled rebar prices which serves as the primary raw material for this segment, the current market pricing of fabrication contract has continued to fall. Bidding activity for new jobs is strong indicating that the impact of lower unfairly priced rebar imports into our market has certainly been a key factor to keeping price low. We expect new contract pricing and margins will continue to be compress in the coming quarters. We had another strong quarter in our international mill segment as second quarter of 2017 adjusted operating profit of $9.4 million was over four times the adjusted operating profit of 2 million for the second quarter of 2016. This approximately $7.5 million improvement in adjusted operating profit resulted from increased volumes of 31,000 short tons, primarily driven by strong demand in the construction sector for rebar, a higher margin mix of shipments including merchant product, as well as the threat release from Belarus. Metal margin declined $12 per short ton in our 2017 second quarter, compared to second quarter of 2016. However like the Americas mill segment we sold material produced prior to the scrap increases and therefore realized margins that were actually higher than the prior year. Our international marketing and distribution segment recorded in adjusted operating profit of $6.1 million for our second quarter 2017, compared to an adjusted operating loss of 2.3 million for the same period in the prior year. The improvement in this segment was spurred by increasing commodity pricing and increased demand in the oil and gas market. Turning to our balance sheet and liquidity, as anticipated, we consumed approximately $70 million cash during the quarter, primarily for our acquisitions and capital spending for the new Oklahoma mill. Our balance sheet remains healthy and provides a significant optionality. As of February 28, 2016, cash and cash equivalents totaled $395.5 million and availability under our credit and accounts receivables sales facilities totaled approximately 575 million. Leveraging our strong balance sheet and the current favorable interest rate environment. We continue to monitor the [Audio Gap] to refinance our maturities taking into considerations and make hold [ph] provisions contained in those arrangements. Capital expenditures were 47.8 million for our second quarter 2017, compared to 51.2 million in the prior year’s second quarter. We estimate that our capital spending for 2017 will be in the range of $250 million $300 million, which includes expenditures related to the construction of our new Oklahoma micro mill. Thank you very much. I’ll now turn it back over to Joe for the outlook.
Joe Alvarado: Thank you, Mary. Our third quarter is typically a strong shipping quarter as we enter the construction seasons in both the U.S. and in Poland. Several indicators point to the continuation of strong demand for our products, for the balance of 2017. The most direct indicator is the robust volume of bidding, we are seeing in our U.S. fabrication businesses, which is driven by the strength of the construction market. In the U.S., non-residential constricting our primary and use market has grown 8% year-over-year. Additionally the architecture billing index for the southern U.S. and important geography for CMC has remain strong for the last several quarters. We're also incurred by many of the initiatives being considered by the new U.S. administration including tax reform, reduce regulatory environment, infrastructure regeneration and more rigorous enforcement of trade actions. However, it is too early to tell how these policies will be implemented. Activity results have been strong during the second quarter in our Polish market were shipments grew by 11% from the same quarter in the prior year. While our polish operation will see some squeeze in margins, we are confident that optimizing product mix and some upward movement in prices will result in continued good earnings from this segment. Thank you for your attention. At this time, we’ll now open the call to questions.
Operator: Thank you, sir. We will now begin the question-and-answer session. [Operator Instructions] And the first question today is PT Luther with Bank of America Merrill Lynch. Please go ahead.
PT Luther: I wanted to start with your thoughts on the Turkish rebar trade case, roughly around numbers was 8% that we got between antidumping and kind of countervailing preliminarily. I was curious if you're seeing any sort of change in behavior from the Turkish end quarters so far after that result, either in terms of maybe price offers or volumes being offered or if you're seeing much change at all?
Barbara Smith: PT, this is Barbara, I'll give a crack of it. We have seen higher offers as a result of the preliminary duties determination. In terms of the flow of products from Turkey, candidly we’re not seeing too much abatement in that regard. We know there is significant tonnage sitting as an example in the Porte of Houston and we do anticipate and we are hearing they are continuing to flow product into the U.S.
PT Luther: Okay. Got it. Thanks. And then I wanted to go to the comment you made in the release about volumes in the domestic mills in Q2 and some benefit from pre-buying ahead of price increases and then some mild weather booster. I was just wondering if you could maybe break some of that down a little bit and separate what looks like, if there is some way you can do this in terms of underlying demand improvement versus some of the temporary boost from pre-buying or unusually good weather.
Barbara Smith: Yeah. I'll start and then if I miss something I'm sure that Joe or Mary will jump in here. If you look at our regions, as you know we operate east, central and west regions. And in terms of weather, clearly we had a milder winter in the central region and to some degree in the east region which is helpful in the flow of construction projects and shipments to our fabricators whether it's our own internal fab or third party. However, in the west region we uplifted by the heavy rains in California and so we actually saw lighter shipments in the west region as a result of weather. The pre-buying it’s a little bit hard to predict, PT, I mean service centers tend to draw down the inventories towards the end of the year, that’s a natural phenomenon. We know that inventories in the service centers are low. And we also know service center behavior is to try to catch the pricing ahead of anticipated price increases. Just based on shipments thus far in March, we continue to see nice shipment level. So, hopefully the effective at pre-buy wasn’t too significant.
PT Luther: Great. Thanks a lot Barbara. I will -- sorry.
Mary Lindsey: I'm sorry, PT. This is Mary and I guess I would just add to Barbara's comment that, of course you know if we go into the third quarter and fourth quarter these are historically very good construction periods and so while we did see a little bit of pre-buy looking at both fab and null shipment, I think we're going to see continued strong shipping activity.
PT Luther: Okay great. All right, thank you very much.
Operator: And our next questioner today is Curt Woodworth of Credit Suisse. Please go ahead
Curt Woodworth: Joe, I just wanted to get a little bit more color on sort of the concept that you think metal spreads in the Americas segment, what can continue this compress I guess next quarter? Because I mean this quarter it looked like the metal spread was at the lowest levels and I think the second quarter of 2010, you are looking at sort of the much more positive demand outlook, it has incrementally trade case [ph] support and the MFCI data shows relatively below average inventory levels. So do you think that the idea that metal spread gets worst as more of the transitory timeframe? And then can you talk about sort of price hike potential in the market? I know there was a $40 hike in January that was slightly successful and that can get probably another round of price hikes, I think March 10, at $25 a ton. So could you just us an update on how successful those have been?
Joe Alvarado: Sure. You are absolutely right about metal margins in the compression that we have reported and that we have been saying through the last few quarters. And there has been continued downward pressure. In particular on the rebar side, this is a function of import pressure and pricing at below what I would say normal market pricing. And in our view there is still an inventory overhand that persists in the market. There are these continued shipment that Barbara's already highlighted that really didn’t abate the increase on an annualize -- on the first quarter and year-over-year basis and there have been scrap increases or increases in our raw material cost. So price increases haven't quite kept pace with the raw material cost increases and even though there has been some hire offers by the Turks and their rebar offerings in the -- for delivery in the next quarter, all of that still has left us with a little bit short of what we need to cover our raw material cost increases. So hence we've worked really hard on the cost side of it and made significant process. We continue to aggressively price products where we believe we can earn the margin that we can. And quite frankly at times we will walk away from business that just doesn’t make good economic sense for us, in order to support some growth in our metal margin. So it's a compression, but we are working through it and I anticipate that we will continue to work our way out of it, both on the cost side as well as on the selling price side. And somewhat contingent about what happens in scarp market which are always volatile and have been more on the upward path. But at this point it's difficult to know that they'll increase or abate, our expectation is that they'll move sideways.
Curt Woodworth: Okay, that’s helpful. And then just a follow up on the micro mill ramp, is there a way to quantify what sort of startup cost could be for that this year and then what's your expectation on when you think that facility could reach more steady state volume performance?
Barbara Smith: Yes Curt, this is Barbara. And I think in prior calls, we did guide that there is about $1 million of expense per month for operating expense related to bringing on the staff in the startup of the operations. So I think that you can model that in, for the balance of the year. We’re kind of early in terms of doing our budgeting for fiscal ’17 or fiscal ’18, which is when we would anticipate the bulk of the commissioning to start up. So I think we can give some better guidance in the coming quarters. We’re still on track to begin production in the fall of 2017 and based on our experience that Arizona and the fact that this is our second micro mill, we would anticipate a strong start up and ramp up to roughly three crew operation probably within our fiscal ’18.
Curt Woodworth: Okay. Thank you.
Operator: Our next questioner today is Evan Kurtz with Morgan Stanley. Please go ahead.
Evan Kurtz : So I had a question on the trade case as well. Ruble loss I guess was confirmed after the preliminary ruling for rebar and I was just wondering if you or maybe your trade laws had any view on how the new team over at the DOC good potentially impact the final ruling, specifically on the rebar case?
Barbara Smith: Yes, Evan. I wish, I had a perfect crystal ball here, as you know the administration is getting their team in place, and then those team members have to staff up their groups. We're hopeful there will be some impact between now and the final. But it’s just really too hard to predict at this stage of the process. But we are quite encouraged in terms of what it might be for us on a go forward basis and we might see better enforcement of our trade laws as we've said many times, we’re really looking for a level playing field in which to operate. And the evidence is pretty clear that there has been dumping into the U.S., so again I think based on the team that's been put in place, we’re hopeful going forward that we will get better results and better enforcement of our trade laws.
Evan Kurtz : As the question or maybe delinking [ph] the case come up to give the new team time to kind of ramp up and focus on this case or is that something that's a discussion at this point?
Barbara Smith: Yes. Well, as you know it’s a collation, so I can’t speak for the other members of the collation. But at this stage, we are not anticipating or requesting a delay. Now that could come from Turkey a request for more time, but at this stage it's still set for mid-May.
Evan Kurtz : Got it, thanks. And maybe just one on margin compression. Is that -- is sounds like from your comments that's mostly pertaining to rebar next quarter. Do you see similar sort of margin compression in merchants and beams?
Barbara Smith: Well, as you know merchant tends to be a higher margin product and -- I mean it's still competitive in across the board. We hope that we will have more success in reflecting the scrap increases into the selling price of other products. But, I want to remind the group that with the level of imports approaching 25% to 30% of the U.S. market for a rebar, that means that a lot of rebar mills are running at really reduced capacity utilization. We here at CMC enjoy pretty nice utilization rates, but that’s in addition to the cheaper import offers, the competitive dynamics domestically with utilization rates being so low across most of the rebar mills, also puts pressure on prices. And it's just even though there have been a number of unannounced price increases, they haven’t been able to be effectively moved through the marketplace to the same extend as the scrap increases. So they are just not keeping pace with the scrap increases.
Evan Kurtz : Okay. Thanks. I'll hand it over.
Operator: Our next questioner today is Martin Englert with Jefferies. Please go ahead.
Martin Englert: Within the both of the mill segments, maybe even more so with Americas metals, there has been well conversation cost at the scrap input. Near-term can you talk about what you'd be expecting over the next couple of quarters here with conversation costs and Americas mills as well as Poland?
Barbara Smith: Both in the US and in Poland the operations are running well and we did take advantage of fee maintenance items in this second quarter. I'm not thinking that we have major outages coming up in the coming quarters. So, we would anticipate if demand and utilization rates stay as they are that we would have very good cost in the mills. I would only highlight that with the recent run-up in some commodity prices, we are starting to see a bit of inflationary pressure particularly in things like alloys.
Martin Englert: Okay. So, that would contribute to your metal spread compression I guess here?
Barbara Smith: If we cannot effectively pass that through, yes.
Martin Englert: Okay.
Barbara Smith: But we would anticipate pretty good conversation cost going forward, and strong demand.
Martin Englert: Okay. And maybe if you can just touch on a couple of things that have been changing with the new post facility that you're planning, what kind of capacity and tonnage that may add as well as maybe the recent acquisitions there whether it could be additive for the volume across the different segments there?
Barbara Smith: I don’t think we’re prepared to disclose the post volumes at this stage, but certainly we'll keep you abreast as time goes on. In terms of the recent acquisitions, the rebar fab in Hawaii is small, but in the second months of our ownership we did see positive EBITDA out of that. So, we are very pleased with that as you know there is always some integration cost that goes into any acquisitions. So, we would expect the ASW fabrication operations to be a positive contributor to the balance of the year. Continental concrete which was supposed tension out in the east, that was very small, but again we expect positive EBITDA contribution. And we just closed on the recycling assets which was a little bit larger in terms of size. We expect about 0.5 million tons of volume on an annual basis which the acquisition of those operations. And again, once we get through some of the integration costs and purchase accounting, we would anticipate that those yards would be positive contributors. So to summarize, I don’t -- on the -- or the seven recycling here is probably won't contribute positively till our fiscal fourth quarter and ASW and Continental Concrete, we would expect a couple of million dollars of positive contribution to the balance for the year.
Martin Englert: Okay, and if I could, one last one on the backlogs and bedding activity for rebar fabrication. Just what do you see in I guess as far as bidding in backlogs since exiting the quarter, quarter-on-quarter and year-on-year, how's that will be?
Barbara Smith: Bidding is strong, bidding is very strong. Certainly, there are stronger pockets across the country that overall. In all regions, bidding is healthy and strong, which is a really good sign. Our backlog is quite robust, exiting the second quarter which to Mary's point earlier bodes well for the balance of the year in terms of shipment. It's really just a pricing and a margin challenge at this point in time. And as Joe pointed out, we try to remain very disciplined in terms of our stack cost and looking at how to capture the most value through the entire value chain. We often times will walk away from projects where we just can't justify the margin or a lack of margin for those particular projects and wait for a better opportunity. But we see good bidding we have very strong backlog and we are trying to manage that margin as effectively as we can.
Martin Englert: Excellent. Thank you very much.
Operator: Next question for today is Jorge Beristain with Deutsche Bank. Please go ahead.
Jorge Beristain: At the risk of beating a dead horse here, I just want to circle back, what is your opinion that you think led to the lower than expectation duties against the Turks particularly?
Joe Alvarado: Yes, so comparatively speaking, or ahead to other products and the duties against the Turks, we all would like them to be higher, but we are relatively pleased at the level compared to past rulings that we've seen with the Turks, and I think there is a recognition, and it was pointed out earlier that we have maybe some friends in Washington that we didn’t have before, we didn’t touch on [indiscernible] and his appointment, that hasn’t been approved yet. But certainly there are some friendlier faces in the Washington and hopefully a better understanding on trade matters and the administration has been pretty strongly vocal about trade and strengthening manufacturing in United States. So while the duties were -- we would always like them to be hire, the 7% to 9% ranges has caused some movement on the parts the truck in terms of addressing their selling prices in the United States. It hasn’t really effected shipments yet, but we haven't had a final ruling. So we've reserve judgement, as we said we're supportive of the trade laws and we'll do everything we can do to support any initiatives to enforce those trade laws and that’s an important part of the overall strategy and perspective that we have about trade going forward. And we'll see where the final comes out. But there has been some benefit already.
Barbara Smith: And I would add that, remember the case is again Turkey, Taiwan and Japan. And while Turkey is the primary offender here, Japan did not participate in the case. And so, they were slapped with the maximum duty and we have seen both Taiwan and Japan retreat from the West Coast market, which is helping some in our West regions. But as Joe pointed out, this result was better than the 2014 results, if you look at trade cases broadly, certainly there has been higher duties for other products. But if you look at the cases that are all related to Turkey beyond just rebar, you will see a similar pattern and a similar range of duty. And our only conclusion, because we know factually from the data that, there has to be subsidies and dumping going on, our only conclusion is there is some bigger strategic relevant and important to Turkey that it's being factored in here.
Jorge Beristain: Okay. That’s unfortunate and I just -- maybe just two other questions. Your recycling and trading business, it was nice to see a sequential rebound. Can you comment there particularly on the bulks trading, I think iron ore other raw materials, are we expecting to see an improvement there going forward?
Barbara Smith: I think in general across the trading platform, we would anticipate, in the coming two quarters, at this stage we would anticipate results in line with this second quarter. I would say on the bulk trading side we are seeing an increase in activity and we'll be monitoring any inflection points carefully. I wouldn’t say we’re at a big inflection point right now. But definitely there are some better signs with higher commodity prices and the number of inquiries and activity level is improved. On the steel side, as Joe pointed out earlier, with a little bit better energy prices and with rig count coming up, we have seen increased activity level there. And it’s been pretty muted for well over a year. So it’s been nice to see the increased activity level there. And we would also anticipate that steel trading would stay in the black and contribute on a similar basis to this past quarters. I think if you go back, we’ve also taken some one-time charges to that segment. And at this point we think all of that is behind us. So the second quarter is kind of reflective of where we think things will be going forward, but certainly we’ll monitor it.
Jorge Beristain: Okay. And then lastly on fabrication based on your new orders and backlogs. Would you say that 2Q was the trough and do you expect improvements going forward or could we see the margin there just kind of be flattish for the next two or three quarters as you digest the higher steel prices?
Barbara Smith: Yes. Unfortunately, we’re not prepared to call the trough at this point. Now hopefully, we will see prices stabilize in fab and even move higher. But we don’t have enough evidence of that yet and bear in mind that in fab you have a long-dated backlog, so we’re shipping a combination of sort of current orders that ship within a quarter and we’re also shipping orders that may have been booked 12 months ago at a better price. So, as you cycle through that we’re now getting into more, I'll call current pricing and that will continue until we see the ability to move prices up in fab and we’re just not seeing that yet. But as Mary tried to indicate, I believe earlier I mean we’re managing through the entire value chain. So, when fab margins are under pressure, it can mean that in this case recycling or scrap moving up, so recycling is seeing a better ability to capture margin, and if mill pricing moves up than they capture better margin and that is sometimes on the back of fab. So, they don’t all move in concert, but through the value chain is how we’re trying to manage the margin.
Jorge Beristain: Got it. Thanks very much.
Operator: [Operator Instructions] And our next questioner will come from Tyler Kenyon with KeyBanc Capital Markets. Please go ahead with your question.
Tyler Kenyon: I know it was asked earlier on here in the call, but the non-metallic cost just in the Americas mills business down pretty substantially quarter-over-quarter, and I'm sure part of that was associated with stronger volume leverage. But the absolute cost also declined pretty meaningfully. So, assuming no substantial change in energy or labor cost and what have you, what was the primary driver of that? And I know Mary you mentioned that there was some cost benefit from purging some lower cost inventory in the second quarter. So, was there a piece that was work in process that maybe didn’t flow through the scrap cost. And where there are any other factors that led to the cost performance in the quarter. And how we should think about that moving into the third?
Barbara Smith: There is about a six months -- six weeks lag between when you're acquiring the scrap and it moves through two finished goods. So, clearly within the quarter and some of what you're seeing based on the information we provide you is the, I'll call it change in inventory effect of shipping out products that which produced with a lower cost layer of scrap. And so, in the third quarter we will not see that same side in that benefit. So, my suggestion would be that you look over a longer time horizon at our operating cost. And I think that you use an average or something of that nature. And then that will probably get you closer when you're trying to model. But, higher utilization rate in seasonally stronger quarters will have a positive effect of course of spreading our fixed cost over a bigger base. So, we anticipate a really strong or really good operating cost, in Poland and in U.S. treat a busy season and that as Joe pointed out, that is the lever that we can control in the absence of having a lot of control over metal margin with the import situation and it's a daily grind and you take action today and it shows up in your results of the coming quarter or two quarters out. We have been making any number of investments to make our operations more efficient, whether that’s the reheated furnace that we installed in [indiscernible] last year which was a replacement of much older furnace. But when you do that, you always look for the most current and efficient technology. So there is a number of benefits that whether it's increase spooled or lower energy cost and I could go on and on of the types of projects that we are constantly implementing, the new caster in Poland and a new furnace in Poland in a couple years ago, we got a new furnace in South Carolina couple of years ago. All of those being help us work on that important element called costs which is the number one thing under our control.
Tyler Kenyon: Okay, thanks for that. And just a clarification, I know we have touched on metal margins here, but as far as what was mentioned in the release. Your expectations it sounded like you were referring to just EBIT margin within Americas mills business. Did you mean to imply that those will remain under pressure, as in remain pretty stable quarter-over-quarter or would you expect little bit of a decline sequentially?
Barbara Smith: It is so hard to anticipate because where is scrap going, and scrap rates month-to-month. We have a view -- there is a market view for what may happen in the coming months and most are predicting sideways. And so that will help in terms of further margin erosion and if the price increase that’s been announced for early April is able to stick and be sustained and may that gives us some ability to capture the prior raw material price increases. But beyond April, you know it's just too hard to anticipate where scrap is going and where the import phase situation is going to settle out, is Turkey going to continue or is Turkey going to abate a bit, how aggressive are this the competitors going to be.
Tyler Kenyon: Okay --.
Barbara Smith: But, as someone -- I would add, as someone pointed out earlier and the metal margins this past quarter is at a low point, if you look back, I think I looked back 13 quarters and this past quarter is kind of an all-time low in metal margin. So at some point there has to be a turn and swing in the metal margin. We also know it's a slow climb out, and so hopefully it has bottomed and hopefully we will see the strong demand which will help to elevate prices a bit and improve our margins.
Tyler Kenyon: Thanks Barbara. And Mary, how should we be -- how should we be thinking about just a working capital kind of as we move into the second half of the year, a pretty strong build in the second quarter relative to the first and I am sure a lot of that had to do with a IM&D. But any way to be thinking about that as we progress through the remainder of the year?
Mary Lindsey: Well, I think you are right Tyler, I mean we did see a little bit of a working capital build in the second quarter compared to first quarter. Primarily related to commodity pricing and scrap pricing. So I think we build the inventory that we need to satisfy what we’re going to have to deal within the heavy construction period. So you might see some slight additional increase in inventory. But again, I think that scrap prices are the big driver of working capital to keep an eye on.
Tyler Kenyon: Thanks for the colors.
Operator: Our next questioner today is John Tumazos with John Tumazos Independent Research. Please go ahead.
John Tumazos: Could you give us an indication as to how much of your gain in ferrous and non-ferrous scrap volume was due to the new yards you picked-up first, whether it’s entirely higher prices in a better market? And then secondly, if the wall were built promptly, how much rebar do you think it will create an extra demand?
Joe Alvarado: Hi John. The increased activity in the recycling segment was more driven by our existing operations. We only closed on the new recycling yards almost last week, so March 6th. So there is no factor for that at all. Barbara mentioned already that on an annualized basis that’s about 0.5 million tons of ferrous volume that we’ll anticipate. So it wasn’t really a factor at all. And as far as the wall is concerned, there have been some really broad range of estimates from 0.5 million tons to 2.5 million tons, and quite frankly we won’t know until there is some commitments that are made and there is an active process design and build and a big process associated with that. But until those details are known it’s really hard to know what volume would be associated with it.
John Tumazos: Thank you.
Operator: The next questioner today is a follow-up from Martin Englert with Jefferies. Please go ahead.
Martin Englert: You’ve mentioned earlier that there was a rebar inventory sitting at the Port of Houston? Do you have any idea of how much might be there sitting at the inventory at the port?
Barbara Smith: Yes, Martin. It’s hard to say, but it’s a couple of hundred thousand tons, so it’s significant.
Martin Englert: And then one last one there, if scrap was step down in the April. Any expectation of whether rebar prices would move in lock step with that or if there will be an opportunity to maintain and expand the middle margins are at least near-term?
Joe Alvarado: We as rule don’t talk about prices, as best we can we try to give the best guidance we can, but as far as pricing is concerned, that's a [indiscernible] topic. You might as well understand for antitrust reasons.
Martin Englert: Sure. And maybe I'm able to ask have your lowered your scale prices at your recycling yards versus where you were at the begin of the month yet?
Barbara Smith: Martin, I wouldn’t -- I’m not close enough to that, that particularly detail at this point, but every yard, every region has different competitive pricing dynamics and I’m sure our prices -- they’re trying to capture as much price as they can.
Martin Englert: Okay. Excellent. Thank you very much.
Operator: At this time, there are appear to be no further questions. Mr. Alvarado, I'll turn the conference back over to you.
Joe Alvarado: Okay. Well thank you everyone for your questions and your patience. And thank you for joining us on today's conference call. We appreciate it and look forward to speaking with you in the coming weeks as we conduct Investor Results. And look forward to talking with you again in June. Thank you very much.
Operator: This will conclude today's Commercial Metals Company conference call. You may now disconnect your lines.